Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q2 2020 Golden Ocean Group Ltd. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. I would now like to hand the conference over to your first speaker today, Mr. Ulrik Andersen. Thank you. Please, go ahead, sir.
Ulrik Andersen: Thank you, operator. Let me start by saying, it's wonderful to see the interest in Golden Ocean's Q2 release. Thank you for that. My name is Ulrik Andersen, I'm the CEO. And today I have with me Per Heiberg, our CFO; and Thomas Semino, our Chief Commercial Officer. We will keep the presentation short and focused. In a moment, I will talk you through the highlights for the quarter; hereafter Per will provide details on our financial results. I will round off the market update -- or the presentation with a market update, before talking briefly about our corporate strategy and cash generation potential. After the presentation, we look forward to welcoming any questions that you may have. So without further ado, let's have a look at the Q2 highlights. The quarter ended with a $41.3 million loss. Needless to say, it's not satisfying for me to sit here today and deliver a negative result. But like many companies across various industries, our market was severely impacted by COVID. On top of that, we also incurred expenses relating to our final scrubber installations. So in total, despite the loss, we feel we came through a very difficult quarter in an acceptable fashion. Adjusted EBITDA was $4.2 million. On a more happy note we completed the final eight of 23 planned scrubber installations. It means that as of today we have no more expenses relating to scrubber installations and only very few dry docking costs left. And all of the dry docking costs are towards the back end of the year. During the third quarter, the market increased significantly and we utilized this market strength to secure additional cover, most of it for the remainder of the year, but also some that cover into next year. It means that as of today, we have 38% of the Capesize vessels covered at $18,800 per day and 56% of our Panamax vessels covered at $14,900 per day. As a guidance for Q3, so far we have achieved $17,900 for 74% of our Capesize and $12,900 for 92% of our Panamax vessels. Finally worth mentioning for this quarter, we joined the Getting to Zero Coalition. In Golden Ocean, we are committing -- very committed, in fact, to bring down emissions, but we also realized that we cannot achieve this in a meaningful way without cooperating with others, pushing out our ambitions. This is why we have joined the coalition. For those who are not familiar with the Getting to Zero Coalition, it brings together 110 companies from across the shipping value chain, as well as governments. The coalition is working on the very ambitious goal of getting zero-emission vessels into operations before 2030. We are naturally looking very much forward to working in the coalition and to work on decarbonizing our industry. With those words, I will hand the word on to Per for the financials.
Per Heiberg: Thank you, Ulrik. As Ulrik mentioned, the net P&L for the quarter was a loss of $41.3 million. This is a significant improvement, compared to previous quarter of $160.8 million in loss. As you know that was significantly impacted by non-cash items, including impairments and mark-to-market losses on U.S. interest rate hedges. Operating revenue fell by $26.8 million, mainly due to the continuation of a weak market that continued into the -- from the previous quarter. The strengthening of the market towards the end of the quarter had a limited effect on second quarter, but should positively impact third quarter results. Lower market rates and lower trading activity also led to a reduction of voyage expenses of $12.8 million and a reduction of charter hire of $4.7 million. Ship operating expenses, including dry dock and estimated OpEx on short-term lease in vessels, was $44.7 million for the quarter. This is down from $65.5 million in previous quarter. The decrease was comprised of $2.9 million, in reduced dry dock expenses and $600,000 decrease in estimated OpEx on these vessels. Effectively, the running OpEx on our own fleet, decreased by $7.3 million compared to previous quarter. Some of this relates to delayed crew changes, caused by the COVID-19 pandemic. And we expect these expenses to increase in the short-term, as crew changes are currently more difficult and costly than under normal circumstances. G&A came in at $3.4 million for the quarter, a slight increase, compared to the previous quarter. Depreciation decreased by $2 million. This is mainly due to lower asset values, following the $94.2 million impairment on these vessels that we took in previous quarter. Net financial expenses were down by $1.7 million, mainly due to lower LIBOR rates, on our floating debt. U.S. interest rates continued to drop during the quarter. And the company booked an unrealized loss of $4.4 million, related to our portfolio of interest rate hedges. Offsetting this loss, we booked a gain of $2.6 million on FFAs and $1.4 million on, bunker hedges. We also booked an unrealized loss of $2.2 million, related to our shareholding in Scorpio Bulkers and a loss of $5.2 million related to associated companies. Adjusted EBITDA was $4.2 million for the quarter. And we achieved a TCE per day, of $8,782, across the entire fleet, compared to $11076 for the previous quarter. Moving on to the cash flow, the company entered the quarter with $128.4 million in cash. And the cash flow from operations was $16 million. This had a positive impact from positive change in working capital. During the quarter, SwissMarine repaid $5.4 million or 50% of the shareholder loan. And the company made regular principal payments of debt, of $23.4 million. And in addition, we paid $15.1 million on leased vessels. Investments during the quarter mainly related to the final scrubber installations, amounted to $7.2 million. Following these changes, cash at the end of the quarter amounted to $104.1 million. This includes restricted cash. And is a decrease of $23 -- no $24.3 million, from the start of the quarter. Going forward, the company has no significant capital commitment. We have limited dry dock commitments. And for the remainder of the year and given the current strength in the market, we expect to strengthen our cash position, significantly over the next months. Moving on to the balance sheet, if you look at the -- that it's worth mentioning that, during the quarter we have changed our accounting principle, related to how we book restricted cash. Cash required to cover covenants, on our loan agreement is now booked as free cash, whereas it was previously booked as restricted. Short-term restricted for instalments, due within the next 12 months. And long-term restricted for the long-term debt. As this cash is not legally restricted and is available cash for the company, we think this method provides investors and analysts a better transparency and is also in line with most other shipping companies' record, minimum cash requirements under debt facilities. Restricted cash is a separate line in our balance sheet. And currently relates to collateral held as security for interest rate swaps and derivative trading. Short-term debt includes the full outstanding amount, on one of our loan facilities. And facility-financing 14 Capesize vessels, that matures on March 31st 2021. And we expect to refinance that facility well ahead of maturity. At the end of the quarter, the company's book equity was 48%. Looking at the credit facilities, then in addition to the one previously mentioned, that will be refinanced within March next year, the remaining facilities are term loan, with reputable shipping banks, that matures in 2023 and later. That ends my presentation. And I hand over the word to, Ulrik Andersen.
Ulrik Andersen: Thank you, Per. So let's have a quick look, at what happened in Q2, before we turn the attention to the outlooks. As mentioned in the instruction, market conditions for much of the second quarter were severely impacted by COVID. The quarter started with a positive economy – economic activity in countries across the world. This was on top of the lockdown we saw in China for much of the first quarter, so really difficult conditions altogether, which of course also were reflected in the rates. Moving through the second quarter. Activity began to resume in China, as lockdowns were lifted across the country. This led to the start of a quite dramatic recovery in dry bulk rates, which was driven mainly by a sharp increase in iron ore exports into China but also to a lesser extent COVID-related logistical issues that continue to cause delays and bottlenecks, primarily in the Chinese ports. Chinese iron import rose almost 19% in the second quarter compared to the same quarter last year. And in fact import reached the second highest level ever. In this connection it's interesting to point out that most of the imports came from Australia rather than Brazil. So in other words short-haul voyages. Brazilian export volumes decreased as the country struggled to contain the pandemic. Looking forward and I will talk about this in a second, we expect exports to increase out of Brazil, which will naturally benefit the tonne-mile demand significantly. Turning to Page 11 and looking at the market outlook starting with the supply growth. It is fair to say that the growth is slowing down fast. That's been a quite – quite a fair share of vessel demolition so far this year. The first six months saw 30 Capes scrapped. And to provide some context around that number, 29 Capes were scrapped for the full of 2019 and only 18 Capes were scrapped in 2018. We have to remember that scrap prices have been low and scrapping capacity in general has been reduced due to restrictions relating to the pandemic. So it's been a fairly good scrapping year so far and it's a trend we hope to continue throughout the year. On back of that and a very low order book, the vessel supply picture is clearly improving. There will be further deliveries this year yes of course, but there will also be an offsetting effect from scrapping. Growth begins to slow in 2021. And in 2022, we see the lowest fleet growth in over a decade. And remind you this is before, we have factored in the potential for further scrapping. All in all, we will say that the order book is at historical low and we do not expect many new orders. Financing is not really available. And perhaps I think this is more important there are major question marks over what future technologies will become widely adopted, competitive and also IMO 2030-compliant. If we turn the page to Slide number 13, and look at the other side of the equation the demand side then we have here the GDP growth. It's one of the most important determinants for the demand of dry cargo ships. We all of course know that 2020 will not be a good year for GDP growth but 2021 is starting to look quite promising based on various forecasts including the one that we have here in front of us from IMF. IMF expects the GDP – global GDP growth to increase by 5.4% next year, which is quite a recovery from the almost minus 5% that they expect this year. What is very notable or is important to note in this connection is that two of the world's largest importers of dry bulk commodities, namely China and India are expecting – are expected to grow well above that at 8.2% and 6.0% respectively. There are always uncertainties in these forecasts and other sources may have different views but a recovery led by China and India would naturally be very well received by the dry bulk markets. And right now it looks to be the case. So if we turn the slide – the page and look at Page 14 then we have summarized our market view here. As it appears, we expect the continuation of the recent strong markets that we have seen so far to continue until the end of the year and also into next. This is on back of unprecedented global stimulus packages. As was the case after the last major recession, stimulus money will lead to infrastructure investments and a pickup in industrial activities. The result will be a greater demand for iron ore and coal, the two primary dry bulk cargoes. Pertaining particularly to iron ore we expect the recovery of loss Brazilian export will lead to increased tonne miles. As many of you may recall, the production was impacted by an unanticipated and highly regrettable event in early 2019 when a dam collapsed at a Vale mine in Brazil. It led to a severe downsizing of production. We do not see that dam collapse weighing negatively on the Brazilian production to the same extent any longer. And if Vale reach even the low span of that guidance which we are positive is achievable, then we are looking at almost 50% increase in volumes out of Brazil from the first half of this year to the second with some very significant volumes. Finally, the fleet growth supply outlook is positive. I just talked about it. In fact it is so positive -- or it is as positive as it has been for years. Generally speaking, it's hard to imagine given what has transpired since the start of the year, but 2020 was shaping up to be a very strong year for dry bulk shipping. Naturally, COVID in the world changed everything, but some very positive underlying factors have not gone away. I think it would be an unwise manner if I didn't provide a disclaimer saying that of course there's still a lot of uncertainty out there. We don't know what will happen with COVID or if other black swans will appear and that's why we've taken our coverage. But at the same time, we are clearly optimistic on behalf of the segment and we believe with good reasons. Turning to the last slide for today, I will talk a bit about our cash flow generation potential and our balanced chartering approach. I'm very comfortable to say in the short-term -- by short-term I mean until the end of the year that our results will be significantly better than the first half and on top of that that we are in a good position to further build our cash balances. When the market began to pick up during Q3, we secured some profitable charters for Capesize and Panamax vessels to lock in some cash flows at good levels well above breakeven. In the meantime and we are happy about that, the market stayed strong and we have a large amount of spot exposure remaining. While this definitely is not a typical year, the second half is generally the strongest for dry bulk rates and we expect the same will happen this year. In some sense you, can say it's already happened because we are seeing today Capesize rates north of $20,000. If we look at the right-hand side of the graph, it's clear that over the last five quarters, we have sent a lot of cash out in connection with CapEx for our scrubber program. That is now behind us which again will benefit our cash balances going forward. Also 2020 dry docks are more or less at least out of the way, which will give combined a good runway throughout the end of the year. So, all-in-all, we believe we are positive -- positioned very well to take advantage of the anticipated strong markets we see in front of us. With that, we'll hand the call over to the operator and he will take care of the rest and we are ready to take any questions you may have. Thank you very much.
Operator: [Operator Instructions] We have one question coming from the line of Gregory Lewis. Please go ahead with your question announcing your company's name.
Gregory Lewis: Yes, thank you and good afternoon. I guess I just have a few questions. The first theme clearly you guys laid out somewhat of a bullish outlook on the market heading into the back half of this year and next year. Looking at asset prices, it looks like they've come down a little bit. Should we be -- I mean just as I think about those two things, I mean should we be thinking that -- I mean is this an opportunity for Golden Ocean to grow its fleet at this point, or kind of -- just kind of curious just given some of your comments how you think about positioning the company for the next -- it sounds like 12 to 24 months under that positive backdrop.
Ulrik Andersen: Yes. Thank you for the question. I think that we will always be looking to do good S&P deals if they are available. Of course we have the consideration towards the regulations from IMO towards 2030. So, it's a balance between trying to find attractive deals of modern tonnage, primarily versus looking at new technology. But in general yes, we are ready to go out and invest if we believe we can make a deal that will add to the value of the company.
Gregory Lewis: Okay. And just as we think about the market right now, I mean, I guess, it's slow at summertime. Are there -- I mean do you see -- if you were to gauge the activity in the sales and purchasing market, are there -- I mean are there vessels for sale, or is it one of these things where since prices are down I don't know 5%, 10% since start of the year kind of there's -- would you characterize it -- well how would you kind of characterize the liquidity in the second hand market?
Ulrik Andersen: I think that the liquidity of at least what we see in the -- with regards to liquidity is mainly that it's older tonnage that is being circulated for sale, whereas more of the modern tonnage is held back. Because as you rightly pointed out, the spot earnings are good and perhaps the values are somewhat underestimated at the moment. So we see most liquidity on the older tonnage.
Gregory Lewis: Okay. Great. And then just another one just kind of as we think about coal, you kind of mentioned some comments around IMO 2030 kind of talking about the outlook for China and India. I mean how much -- I mean I guess the question would be year-to-date realizing that this is an odd year or a hard year for everybody because of the coronavirus. I mean you guys have vessels that move a lot of coal. Like how are you thinking about the outlook for coal over the next couple of years? Should we be thinking that we could see an uptick in coal demand over the next couple of years really just as some of these economies around the world get going higher, or I mean you're in Europe, Norway next-door to the continental Europe. I mean it seems like coal continues to have challenges. I'm just kind of curious how you're thinking about the coal markets over the next couple of years?
Ulrik Andersen: Yes. We think in general that it's too soon to declare coal debt as a dry bulk commodity.
Gregory Lewis: Absolutely.
Ulrik Andersen: There's still a lot of demand in India and China. I mean China is the biggest producer of coal altogether. Of course, the imports there are a little bit politically regulated. But overall, we expect actually a growth in the import volumes both to India and China over the coming years. Coal is not going to be in the energy mix forever. It's definitely been out-phased and I think that's a good thing. But in the short-term, let's say the next two, three, four years it still has an important role to play in dry bulk shipping. We have to remember one thing of course and that is -- that the tonne-mile from coal is nowhere near that of iron ore. Iron ore is the driver of course in all of this, but you can say that coal is kind of an icing on the cake. I mean we have seen cape rates go from $2000 a day to $35,000 without seeing any coal really moving. So of course, if we can go get coal back to moving to some extent it would be a good extra catalyst for the cape rates.
Gregory Lewis: Okay. And then just I guess I'll just -- just since we're talking about coal. You kind of touched on something that we've seen throughout the year where -- it's kind of normalized but like for most of the year capes really have outperformed some of the smaller vessels or at least coming out of the pandemic in kind of the spring. Why do you think that was? Any kind of color realizing you guys primarily operate with bigger shifts but like it seemed like the capes were really outperforming. Just kind of curious if you guys had any view around that?
Ulrik Andersen: Are you comparing Capes in the Panamaxes, or are you comparing Capes to the handies and...
Gregory Lewis: I mean Ultramax -- Ultramax and Panamax is I mean realizing that Panamaxes have converged on Capes over the last month or two, but it seems like over the last kind of three, four months the smaller vessels even including the Panamax have seemed to have outperformed. Like you mentioned Capes went to $30,000 a day. It seemed like they were really outperforming the smaller vessels. Just kind of if you could provide a little bit more color around that that would probably be helpful.
Ulrik Andersen: I can try and maybe Thomas Semino will also have a few words on this, but what I can say is that, the way we see the world is that, there is a larger upside, also larger volatility, but larger upside on the larger segment. You can say the Cape sort of establishes the ceiling for the smaller segments. That's also why we have deliberately taken out more coverage on our Panamaxes and kept a larger exposure to the Capes. So I think it's natural. We see this in other segments as well, that larger-sized vessels have the largest upside. And we expect that to continue to be the case. I'm not sure if that answers your question. And maybe Thomas you have some more to put on this. But, yes, let me know if this suffice.
Thomas Semino: Yes. I think, Ulrik -- sorry, this is Thomas. Thank you for the question. I think it is as well, in part, relevant to what we mentioned before on the iron ore and coal on Cape. 85% of what we move is iron ore, right, and therefore we are not really too affected about the coal being slow. Whilst on the Panamax, the mix is still adding some more coal on it. So, clearly, that's one of the reasons why the Cape has been moving faster and higher compared with the smaller size in general. I mean, lately we have seen that actually the Panamax sector has been moving quite strongly, higher, thanks to strong demand on the grain from the both East Coast South America and the U.S. gas and catching up on the spread compared with the Cape.
Gregory Lewis: Okay. Perfect. Hey, thank you very much for the time today.
Ulrik Andersen: You’re welcome.
Operator: We have another question coming from the line of Anders Karlsen. Please go ahead with your question, announcing your company’s name.
Anders Karlsen: Yes. Hello. I was wondering, have you heard any talk about any new building orderings in the market, given the uncertainty around fuel outlook, et cetera, or are you considering doing any new buildings?
Ulrik Andersen: If I can maybe start and then Thomas can follow-up. But I can say that we are in a wait-and-see position. And when I say wait-and-see position, I mean, not in a passive way, but in an active way. We are monitoring very closely the technologies that are emerging now. The industry is running faster than it used to. And I think there’s going to be many ways through essentially 2030 compliance, which is what we are aiming at and even further down the road, of course, we have 2050 we have to consider as well. So right now, there's not one widely adopted technology or tool. And we are very conscious of the fact that we have to be sure that we choose the right technology when we go to the yard. So, right now, we are not there or ready to push the button. And I think that would go for a lot of other owners, I think, they will see the same. And that's what I talked about when we talked about the supplies growth that is slowing down. The other owners will probably sit with the same headache as we have, so in a way that is good. With regards to ordering maybe Thomas you can throw some comments on. We know that the -- they have been in the market for tender, but other than that it's not much we are picking up. But Thomas maybe you can throw a few words on that as well.
Thomas Semino: Yes. No, absolutely. As you said, I think, the new ordering has been very, very slow. There have been some rumors about hybrid LNG vessel been ordered or better letter of intent has been signed for a few of those vessels. But apart from that, that has been very slow for the reason that you highlighted before. So really on the ordering side, new buildings, there has been very little activity going on.
Anders Karlsen: Okay. Thank you. Then a little bit on scrapping. I mean, you are very right in saying that scrapping has been a big factor earlier this year. But with your current rate expectations of a bullish second half of the year, fairly low bunker prices. Why should people start scrapping vessels big time? I mean, it's an option.
Ulrik Andersen: Yes. No, I also don't think, I said that. If I did then, what I meant was that, it has been a good year for scrapping so far. We hope the tendency will continue, whether it will, okay. Let's see. I agree, we have a strong market now. We have good outlooks. It's not going to be scrapping that's going to be driver -- the driver of this market. I think, it's going to be the iron ore imports into China. So, whether there is a lot of scrapping more from today and onwards is not going to be the determinant of the market, but we still expect because there are businesses that are that are older that they will be scrapping also in a strong market. But of course it will be less.
Anders Karlsen: Okay. Thank you. And then finally I guess a question to Thomas. In terms of the market I mean, we saw record volumes going into or iron ore going to China in July. How is that looking now? And what will it take to lift the market to say -- the Cape market to $30,000 a day or thereabout? Do you see any signs that that will be happening soon?
Thomas Semino: Thank you for the question. Well, the Cape market has been very volatile and we are quite optimistic for the second half of the year. So, we might see who knows another spike to $30,000 a day. The trend in Brazil -- export pace from Brazil is quite strong. And West Australia as well is moving. They're moving operators there and the shippers are moving as much as they can. So, with the efficiency coming from the fleet because of the crew changes and that we are seeing now and they're still having to quarantine so making basically trip longer than what they were before so more compromise. There is the possibility for the market to move up to another step so back to the $30,000. Certainly the possibility is there. Congestion is pretty high in China now, so that is something that of course we should monitor. And I mean potentially there is some bad weather coming over into China that would potentially increase the congestion and waiting time for these charges. So, that could be another positive factor on that. So, as usual, it's not only one factor, but you need to have a convergence of multiple assets to push the market to $30,000. So, it could well happen. We hope it's happening of course. And the market is -- with the demand on iron ore and as well the increased compromise that we see in the market is set for that to hopefully happen.
Anders Karlsen: Okay. Thank you. That’s all for me.
Operator: [Operator Instructions] We have another question coming from the line of Cuma Mullen [ph]. Please go ahead with your question announcing your company’s names.
Unidentified Analyst: Good morning gentlemen. Thank you for taking my questions. You've used current market strength to figure considerable amount of remaining 2020 trading days and I was wondering, if you're looking into fixing a large portion of your 2021 open days?
Ulrik Andersen: Thank you for the question. We will keep a balanced approach also through 2021. That is our starting point. We do believe as we have told today at this call that the market is going to be strong. So, we will see as and when is the right time. We feel that the balance for now is good for the remainder of the year. We also see normally a weak first quarter in dry cargo. And it means that right now, there's quite a discount on the TCE levels for Q1. That means we don't think it's the right time to move. But as and when, we get closer to 2021 and as and when we see the opportunities, we will certainly continue to take money off the table, when we feel that the rates are at the right level.
Unidentified Analyst: All right. That's helpful. My second question is related to your small sale position. How do you currently view it?
Ulrik Andersen: Yes. It's a position we've had for quite some time. And yes, it's for discussion what we will do with that position. It is so insignificant now that it doesn't really impact our results or in general our business. So, it's a relatively small investment. I don't have an answer for today what we will do with that.
Unidentified Analyst: No problem. Thank you, very much guys.
Ulrik Andersen: Thank you.
Operator: We appear to have no further question at this point. So, I hand the conference back to you sir.
Ulrik Andersen: All right. It concludes today's session. Thank you for attending Golden Ocean's second quarter results. If you have any other questions, you're always free to contact myself or Per. Thank you very much for today and have a nice day.
Per Heiberg: Thank you.
Operator: Ladies and gentlemen, thank you for your participation today. This concludes today's conference call. You may now disconnect your lines. Thank you.